Operator: Good day, and thank you for standing by. Welcome to the 3Q 2023 Westwood Holdings Group, Inc., earnings conference call. [Operator Instructions]. Please be advised that today's conference is being recorded and would now like to hand the conference over to your speaker today, Ms. Jill Meyer. Please go ahead.
Jill Meyer: Thank you, and welcome to our third quarter 2023 earnings conference call. The following discussion will include forward-looking statements that are subject to known and unknown risks, uncertainties and other factors which may cause actual results to be materially different from those contemplated by the forward-looking statements. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today as well as in our Form 10-Q for the quarter ended September 30, 2023, that will be filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings and economic earnings per share to those comparable GAAP measures is included at the end of our press release issued earlier today. On the call today, we have Brian Casey, our Chief Executive Officer, and Terry Forbes, our Chief Financial Officer. I will now turn the call over to Brian Casey.
Brian Casey: Good afternoon and thank you for listening to our quarterly earnings call. We have plenty to share with you this quarter. So I'm going to tell you about our ongoing efforts to create positive investment outcomes for clients, the successful transitions we've made in our SMidCap, AllCap, and Broadmark Tactical Plus and Tactical Growth strategies, and our initiatives to diversify and grow our offerings and revenue streams. As you know, at Westwood, we focus on helping our clients achieve their objectives by using our disciplined investment processes to generate portfolio Alpha without taking excessive risk. This approach has delivered excellent compound rates of return for our clients throughout our 40-plus years of history. While the overall economic backdrop for asset managers has certainly been challenging these past few years, we feel really good about the significant progress we've made so far and the terrific opportunities that lie ahead. We'll look first at capital market conditions. The Fed's rate adjustments have created difficulties for equities and fixed income alike. Taken together with the Fed Chairman, Powell's comments, the Fed actions strained bond prices as rising interest rates pushed yields up and prices lower. The equity market experienced a sharp rise in volatility and price pressures as sentiment shifted lower. Selling waves did not differentiate between styles or market capitalizations. They were driven largely by fears of an interest rate trajectory that might be higher for longer. Against this backdrop of market volatility across a broad spectrum of securities and sectors, 80% of our US value strategies outperformed their benchmarks in the third quarter and remain ahead over the trailing one year period. Over the trailing five-year period, all our US value strategies with track records extending into this length are ahead of their benchmarks. Our US value investment team is highly experienced with remarkably long tenures, averaging 11 years at Westwood and double that amount of time in overall investment experience. Our research driven culture along with a team-based portfolio management approach and history of promoting from within underpin our investment process. These are the elements that have allowed us to smoothly transition portfolio management of our SMidCap and AllCap strategies. A long tenured portfolio manager recently left Westwood, but we seamlessly adjusted by bringing in two other long-tenured team members, each of them with more than 25 years of investment experience. SMidCap and AllCap have strong long-term track records ahead of their respective benchmarks over the trailing 1, 5, 7, and 10 years, and since inception. Within our multi-asset team, the group's scale and asset allocation was clearly on display in their overall performance results. Two of our three strategies outperformed for the quarter and all three are outperforming for the trailing three-year period. As of September 30, all three ranked in the top 40% of their Morningstar peer categories for trailing three years and the top 26% for trailing five years and top 21% for the trailing seven years. Our absolute return strategies all performed well in an environment where the S&P 500 dropped more than 3%. They performed as expected, highlighting an ability to protect investor capital in times of uncertainty. New strategies posted positive results while the third slip just 38 basis points for the quarter, placing them in strong relative positions against their peer universes. The Fed higher for longer stance could well prompt US corporations to continue moving towards the convertibles asset class when raising capital. A dynamic shift like this would benefit our alternative income strategy by increasing the supply from traditional convertible issues and also expanding issuance from new sectors and industries. All of this could create opportunities for investment teams with the kind of long-standing relationships and deep expertise that we have at Westwood. Our Tactical Growth and Tactical Plus funds are designed to help investors sidestep market downturns. As you know, equity valuations remain above historical averages and we remain vigilant as the road ahead could be bumpy. If global economies enter a synchronized recession and markets correct, we expect these strategies to shine as investors look to protect capital. I'd like to take a moment to talk about Chris Guptill who passed away suddenly this summer. Chris was founder, Co-Chief Investment Officer, and Co-Chief Executive Officer of Broadmark Asset Management. The majority owned subsidiary we acquired in last year's Salient transaction. As planned, Chris's long-term colleagues and partners, Rick Damico and Rick Cortez have taken over the roles they shared with him as CIO and CEO, respectively. The Tactical growth and Tactical plus strategies led by Chris for the last 18 years are now being managed by Rick Damico, Rick Cortez, and Dyer Kennedy. All three are committed to their time-tested disciplined investment process based on the four pillars of valuation, monetary policy, investor sentiment, and volume and breadth-based momentum. Chris was well respected and will long be remembered for its friendship, leadership, investment acumen, and disciplined work ethic. Our Westwood Salient strategies outperformed their benchmarks this quarter. Global Real Estate and Select Income funds performed especially well and have topped 30% Morningstar peer rankings year to date, top 15% over the trailing one year and top 10% of the trailing three years. Our Energy Infrastructure strategies benefited as crude oil rebounded by over 30%, and they ranked among a small group of asset classes that posted positive absolute returns for the quarter. Asset outflows continue in the MLP space as investors take profits following a period of strong performance, but we believe MLP fundamentals to performance potential remain attractive. These Westwood's strategies are specifically designed to provide investors with alternative sources of income, along with inflation protection via exposure to real assets, low correlations to traditional asset classes, and market volatility mitigation, and that is exactly what they've been doing. Our wealth division performance was mixed with half of our strategies outperforming their benchmarks, even as they provided exposure to LargeCap blue chip equities, consistent with the investment objectives of our high net worth client base. Our wealth division has made great strides in supporting clients while bringing on new clients and improving efficiency. We've made a lot of progress in building out an RIA platform to efficiently serve a wider range of client needs. We're especially pleased that our holistic wealth management services and our nimbleness in reacting to client needs is resonating with the younger entrepreneurial clients. For example, the last five relationships we've onboarded with over $10 million have all been clients in their 30s and 40s. As a result of these efforts, Westwood Trust economic earnings increased 8% year over year. As mentioned previously, Vista Bank has now completed its acquisition of Charis holdings and our ownership stake in Charis means that we are now a shareholder investor bank. This is known as an entrepreneur's bank serving North, Central, and West Texas through 14 banking locations. Our partnership with Vista brings us a range of services to deepen our client relationships, including access to a robust private banking practice for Vista's ultra-high net worth clients. Shifting now to distribution. Our institutional channel experienced net outflows of $133 million, primarily due to redemptions in our US value strategies, including a few partial redemptions and a loss of two clients, one to a passive ETF strategy and one to a broader change in asset allocation strategy. Outflows were partially offset by US value inflows, primarily for SmallCap. Our overall client base remained stable and following the recent transition, our distribution and portfolio management team has worked hard and successfully to retain key consultant approvals for SMidCap. And as a result, we had no SMidCap client losses. In fact, we remain under consideration for several DC plan allocations in both SMidCap and SmallCap. Overall institutional outflows improved, but an industry-wide lack of inflows to these categories have negatively affected net flows. The overall market environment continues to be challenging for gathering new flows, given recession fears along with an attractive 5% risk-free rate of return in cash products. As investors begin preparing to deploy capital differently, our pipeline has grown this quarter, reflecting increased search activity. Put some context around this growth in the pipeline. It literally grew 10 times in three months. We have two large searches in the $200 million to $400 million size range now, and we're particularly excited about those. Capitalized on this trend, we've added a seasoned sales professional, Pete McCarthy, to the institutional team. We know that he is seasoned because he previously worked here at Westwood and is coming back to resume his coverage of the Northeast. Our institutional team is also working hard to expand our presence and brand awareness from the OCIO, Outsourced Chief Investment Officer, and multifamily office spaces. Intermediary flows continue to feel the impact of a buyers' strike due to economic uncertainty and higher cash yields offering attractive safe haven for risk-averse investors. Westwood has been outperforming peers as measured by redemption as a percentage of assets under management in the key categories where our strategies compete. Despite these headwinds, our team continues to work hard and wholesaler activity remains robust. Financial advisors may not be allocating many client funds and the non-cash strategies, but they're exploring investment opportunities for an environment in which cash is no longer the most attractive option. Overall, our intermediary channel experienced net outflows of $159 million for the quarter, driven primarily by taxable growth and MLP redemptions. Outflows were partially offset by demand for our SmallCap, Select Income, and Alternative Income strategies. Recap, this market environment has caused many investors to take a pause and industry activity has slowed overall. Market fluctuations may impact revenues or AUM temporarily. Our focus remains on executing our investment disciplines and delivering strong client service. We think this is a great time to deepen existing relationships and forge new relationships with added offerings. As part of our efforts to diversify our product range and revenue sources, we began to build out our private market capabilities and are exploring the actively managed ETF space. We expect that our initial product focus in these areas will leverage the deep experience of our energy infrastructure team. And in private markets, we've launched a new strategy called the Westwood Energy Secondaries Fund. This product blends our in-depth bottom-up investment process. With our ability to source investments, our reputation as a leading institutional investor and public energy markets and our strong relationships with leading sponsors, it allow us unique access to energy-related private investments. We believe it's an exciting time to invest in oil and gas because institutional investors are selling fossil fuel-related investments for ESG and other non-fundamental reasons, which creates a supply-demand imbalance and provides opportunities for secondary investors. And two, the outlook for commodity prices is bullish due to a global underinvestment in recent years. And finally, valuations are historically low. While companies see elevated levels of profitability which opens an opportunity to buy mature assets at large discounts in the secondary market. Also excited to share a significant development with the potential to transform our business. Earlier today, we unveiled our latest addition, the cutting-edge Managed Investment Solutions team. The Managed Investment Solutions Chicago-based team boasts an average of 25 years of institutional experience. It proven track records and providing customized index solutions for institutional clients, including public plans, sovereign wealth funds, corporate pension plans, defined contribution plans, endowments, foundations, and consultant groups. Managed Investment Solutions' consultative and customized approach has gained the trust of clients and the team has developed several asset management capabilities. Our Managed Investment Solutions business is an important addition to our product suite, allowing clients to access different market and thematic exposures. Our new capability is adaptable, transparent, and tailored to address the shifting needs of a multifaceted client base. Managed Investment Solutions teams approach is a commitment to understand client needs in-depth and assess current exposures and overarching objectives to ensure that desired outcomes align with the prospects portfolio as a whole. By identifying trade-offs between various methodologies, investment solutions fine tunes answers to fit the customer's unique goals and objectives. We're energized by the opportunities this new development brings to Westwood. We continue to diversify our product offerings. We're working hard to broaden our client base and we continue to enhance our revenue streams. We believe that current market conditions are right for the successful introduction of Managed Investment Solutions and our new team members are ready to go, officially joining Westwood next week. It represents another important entry for Westwood into a substantial market segment that is signaling strong demand for our solutions business, and it fits nicely within our existing investment capabilities. As you know, our primary focus has long been to deliver superior risk-adjusted returns, excellent client service, and an expanded array of investment opportunities and solutions. We continue to invest in strategic initiatives to improve our business and underpin Westwood's return to a long-term growth trajectory, and we're looking forward to keeping you updated on our progress. Thanks again for your time today and for your interest in Westwood. I'll now turn the call over to Terry Forbes, our CFO.
Terry Forbes: Thanks, Brian, and good afternoon, everyone. Today we reported total revenues of $21.9 million for the third quarter of 2023 compared to $21.9 million in the second quarter and $15.4 million in the prior year's third quarter. Revenues were comparable to the second quarter, revenues were higher than last year third quarter, reflecting higher average AUM following the acquisition of Salient Partners' asset management business during the fourth quarter of last year. Our third quarter comprehensive income of $3.4 million or $0.41 per share, compared favorably with $2.9 million or $0.36 per share in the second quarter due to the receipt of life insurance proceeds, offset by changes in the fair value of contingent consideration. Non-GAAP economic earnings were $6.3 million or $0.77 per share in the current quarter versus $5.7 million or $0.7 per share in the second quarter. Our third quarter comprehensive income was $3.4 million or $0.41 per share compared favorably with last year's third quarter loss of $1.2 million, or $0.15 per share, primarily due to higher revenues in insurance proceeds, offset by changes in the fair value of contingent consideration and higher employee compensation and benefits expenses. Revenues and expenses were higher following the acquisition of Salient Partners' asset management business in 2022. Economic earnings for the quarter were $6.3 million or $0.77 per share compared with $0.8 million or $0.10 per share in the third quarter of 2022. Firmwide assets under management and advisement totaled $15.5 billion at quarter end, consisting of assets under management of $14.4 billion and assets under advisement of $1.1 billion. Assets under management consisted of institutional assets of $6.7 billion or 47% of the total, wealth management assets of $3.8 billion or 26% of the total, and mutual fund assets of $3.9 billion or 27% of total. Over the quarter, our assets under management experienced market depreciation of $0.3 billion and net outflows of $289 million. And our assets under advisement experienced market appreciation of $2 million and net outflows of $63 million. Our financial position continues to be very solid with cash and short-term investments at quarter end totaling $48.5 million and a debt-free balance sheet. I'm happy to announce that our Board of Directors approved a regular cash dividend of $0.15 per common share payable on January 3, 2024, to stockholders of record on December 1, 2023. That brings our prepared comments to a close. We encourage you to review our investor presentation we have posted on our website, reflecting quarterly highlights as well as a discussion of our business, product development, and longer-term trends in revenues and earnings. We thank you for your interest in our company. And we'll open the line to questions.
Operator: [Operator Instructions]. Our first question will come from Mac Sykes from GAMCO.
Mac Sykes: So I have two questions. I'll just ask them together because they're obviously linked. My first is, how should we think about the revenue cost dynamics with this new group that's just been brought in? And then on the revenue side, how should we think about the revenue generation from that? Is that -- I assume that's kind of a consultant basis points fee on AUM?
Brian Casey: Yes. So I would look at it like we're hiring three people at market rates and we're opening a very small office in Chicago. So the cost of the office will be minimal. And I would look at it as these are three investment professionals that have 25 years-plus experience, they've done a lot of things in their career, but what they did in their prior life was they built an index solutions business at their prior -- former employer, where they grew the business from 0 to over $100 billion in AUM. The average fee on the assets that they managed was very wide ranging. It was anywhere from 3 basis points to 55 basis points. And they do a lot of interesting things like tax-managed and sector focus thematic, all kinds of different approaches. So it's an exciting new business line for us. It's certainly not a change to our business. It's a new business line, and we've been known as active managers for 40 years. And we intend to continue delivering superior risk-adjusted returns in the active space. But we also have a history of solving problems for clients, and this group has a great history of creative problem solving for their clients. And so we're excited for them to join Westwood. They start next Monday, and we'll hit the ground running.
Mac Sykes: Right. And then typically, to -- on a mandate like this -- sorry, I mean, as again mandate, what is the sort of lead time for securing them in terms of when they start to prospect and get that solution and then implement it?
Brian Casey: I think probably the first 90 days, we'll be getting all of the operational aspects of the business up and running and then they'll be reaching out and talking to the folks in the industry that they know well. And if they have the same kind of success that they had at their prior shop, we should start to see some flows at the end of next year.
Mac Sykes: Great. Thank you very much. Happy Halloween.
Operator: Thank you. [Operator Instructions]. And speakers, I see no further questions in the queue, I would now like to turn the conference back to your CEO, Brian Casey, for closing remarks.
Brian Casey: Okay. Well, thanks, everybody, for taking some time to listen to our call today. If you have any further questions, please look at our website, westwoodgroup.com, or call myself or Terry Forbes. Have a great day. Thanks.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect and have a pleasant day.